Blake Fernandez: An audio replay will also be available following today's call. Important disclosures regarding forward-looking statements and non-GAAP financial measures are provided on Slide two. An overview of 2024 results and recent announcements are highlighted on Slide three. A condensed consolidating balance sheet for PAGP and other reference materials are in the appendix. Today's call will be hosted by Willie Chiang, Chairman and CEO, and Al Swanson, Executive Vice President and CFO, along with other members of our management team. With that, I'll turn the call over to Willie.
Willie Chiang: Thank you, Blake. Good morning, everyone, and thank you for joining us. Let me start with a few comments about our results and our outlook on 2025, and then I'll provide an update on our recent announcements. Let's start with the results. We just demonstrated another strong quarter of execution. We exceeded our expectations for the fourth quarter and for the full year, reporting adjusted EBITDA attributable to Plains of $729 million and $2.78 billion, respectively, with full-year results just above the high end of our guidance range and exceeding our initial 2024 guidance by approximately $105 million. Our 2025 guidance is highlighted on slide four. We provided adjusted EBITDA guidance of $2.8 billion to $2.95 billion, approximately 3% growth year over year at the midpoint of our guidance range. As shown on slide five, we expect Permian crude production to grow 200,000 to 300,000 barrels a day by year-end 2025, with overall basin volumes growing to approximately 6.7 million barrels a day by the end of 2025. We believe this sets up for a very constructive long-haul market over the next several years as volumes grow towards our full utilization efficient operating capacity. In regard to our Permian long-haul assets for 2025, we expect continued high utilization on our Corpus Christi-bound assets, increased volumes on the basin pipeline, and a modest MVC increase on Wink to Webster. Our Permian Gathering JV continues to benefit from the embedded operational synergies and consistent producer activity on our over 4.7 million dedicated acres. Our outside Permian business tends to get less attention externally, but it continues to perform well and generate significant excess cash flow for Plains. We have selectively acquired complementary assets along this footprint over the past couple of years, including the recently acquired Midway Pipeline and Ironwood Gathering System. We continue to explore and develop additional bolt-on opportunities. Before turning the call over to Al for more detail on our guidance and results, I want to provide an update on our recent announcements. Turning to slide six, we've completed the acquisition of Ironwood Midstream Energy on January 31st, which extends and expands our integrated asset base in the Eagle Ford. As seen on slide seven and as previously announced, we acquired the remaining 50% interest in Midway Pipeline, and a subsidiary of our Permian joint venture acquired the Medallion Delaware Basin gathering business. These transactions exemplify Plains' efficient growth strategy focused on expanding our integrated asset base, streamlining operations, all while generating attractive returns for unitholders. Additionally, on January 31st, we closed the purchase of approximately 12.7 million units or 18% of our outstanding Series A preferred units at par value of $26.25, reflective of our continued effort to not only optimize our asset base but also our capital structure. Lastly, we accelerated the return of capital framework and announced a 20% increase in the quarterly distribution payable on February 14th for both PAA common units and PAGP Class A shares. On an annualized basis, the distribution represents a $0.25 per unit increase from the distribution we paid in November 2024, bringing the annual distribution to $1.52 per unit, representing a yield of approximately 7.5% based on the current equity price for PAA. With that, I'll turn the call over to Al.
Al Swanson: Thanks, Willie. We reported fourth-quarter adjusted EBITDA of $729 million, which includes crude oil segment benefits from higher volumes and pipeline tariff escalation. Our NGL segment benefited from higher-than-expected border flows leading to increased C3 plus FEC product sales. Slides eight and nine in today's presentation contain segment EBITDA walk which provides details on our fourth-quarter performance. All in all, we executed well in 2024 and are well-positioned as we enter 2025. A summary of 2025 guidance and key assumptions are on slide ten. Looking at 2025 guidance compared to 2024 results, and as illustrated by the EBITDA walk on slide eleven, we expect adjusted EBITDA of $2.8 to $2.95 billion with year-over-year growth in our crude oil segment and slightly lower NGL segment contributions. Growth in our crude oil segment is primarily driven by contributions from bolt-on acquisitions, volume growth, and pipeline tariff escalation, partially offsetting these tailwinds on the previously discussed reset of certain long-haul contract tariffs that stepped down in the second half of 2025. While our NGL segment adjusted EBITDA is expected to be slightly lower year over year, the business is shifting to approximately 45% fee-based in 2025. I would note that our C3 plus spec product sales volumes are approximately 70% hedged for the year in the low $0.70 per gallon level. We remain focused on making disciplined capital investments and expect to invest approximately $400 million of growth capital and approximately $240 million of maintenance capital in 2025, net to PAA. This includes growth capital for the POP JV well connections, intrabasin improvements, integration of our recently completed acquisitions, and capital related to our Fort Saskatchewan debottleneck project. As illustrated on slide twelve, in addition to capital discipline, we remain committed to significant returns of capital and maintaining financial flexibility. For 2025, we expect to generate approximately $1.15 billion of adjusted free cash flow excluding changes in assets and liabilities, which is reduced by $80 million for the previously announced bolt-on transactions that closed in January. Regarding our balance sheet, we recently raised $1 billion of senior unsecured notes at a rate of 5.95%, maturing in 2035. Proceeds were used to fund the recently announced transactions. Regarding our senior note maturity profile, we have $1 billion maturing in 2026, which we would expect to refinance all or a portion of during the year. Before I turn the call back to Willie, I wanted to provide detail on two charges that impacted our fourth-quarter GAAP results. Our 2024 results include a $140 million noncash impairment related to two US NGL terminal assets. These are excluded from our adjusted results. Separately, regarding our claim for reimbursement from insurance carriers of $225 million that arose out of a 2022 class action settlement relating to our 2015 Y901 incident, an arbitration panel ruled that we are not entitled to reimbursement for our $175 million claim against several of the insurers. With respect to our remaining $15 million claim against different insurance carriers, we now regard collection of those claims as being less than probable, and GAAP, therefore, requires that we write the entire $225 million receivable and recognize any future collections as and if they are received. While disappointing, we still expect to operate at or below the low end of our leverage target ratio of 3.25 to 3.75 times in 2025. With that, I'll turn the call back to Willie.
Willie Chiang: Thank you, Al. 2024 was another solid year of execution for Plains, and we remain confident as we enter 2025 with strong operational momentum and are well-positioned to play offense and continue to deliver value to our unitholders. As we show on slide eleven, we've made meaningful progress on our financial objectives and we've positioned ourselves to be the investment of choice. In summary, first, our balance sheet strength provides significant financial capacity and flexibility. Secondly, we continue to demonstrate capital discipline and the ability to execute on our efficient growth initiatives, including growing the business both organically and inorganically through accretive and synergistic bolt-on acquisitions. And finally, as demonstrated with our recent distribution increase announcement, we remain very focused on increasing the return of capital to our unitholders through our multiyear capital allocation framework while still preserving financial flexibility. From a broader perspective, we're optimistic about a new administration that values energy security and energy independence, and one that also supports customer choice and a level playing field for all sources of energy, including hydrocarbons. We believe the world will continue to need North American energy to maintain today's quality of living standards and to help elevate those that are less fortunate. Plains is well-positioned to support domestic energy growth with critical infrastructure to connect supply to demand centers across North America. With that, I'll turn the call back over to Blake, who will lead us into Q&A.
Blake Fernandez: Thanks, Willie. As we enter the Q&A session, please limit yourself to one question and one follow-up. This will allow us to address as many questions as practical in our available time this morning. The IR team will also be available to address any questions you may have. I believe we're ready to go to the Q&A session. Thank you. As a reminder, to ask a question, please press *1. To withdraw your question, please press *1 again. And our first question will come from Keith Stanley of Wolfe Research. Your line is open.
Keith Stanley: Hi. Good morning. Thank you. To start, maybe can you give a little background on how some of these tuck-ins came together in January? Was it a long process, or did it come together pretty quickly? And then give a sense of if there are other meaningful opportunities you're working on currently or that you think are likely you'll be able to execute on this year?
Willie Chiang: Thanks, Keith. This is Willie. You know, we entered 2025 with a lot of momentum. And, obviously, the deals don't happen overnight. So our organization, as you know, is constantly looking for opportunities, and we had a number of these that came together at the same time. It was a lot of work for our team, but we were able to execute on all of it. And as with these things, you can't pick the timing. So we were pleased to be able to come in strong in the year. And I think that just reinforces the comment that we've really moved from defense to offense. As far as more activity, we've been pretty public about that. We think there are more opportunities. And when you think about Plains' footprint and our integrated asset base, we're an infrastructure company. So we connect supply to demand. And in that process, we have a lot of people that we talk to. And that opens up opportunities for us to create some of these options for opportunities to bolt on into our system. A lot of opportunities for synergies, and so as we go forward, we're nurturing a number of these. The one common thing is we're not growing for growth's sake, and all of these have to go through the lens of capital discipline and strategic need and our ability to pull through the entire system, getting more synergies. So I think you can expect more of these to come, but, again, it's going to be hard to predict the timing. And most importantly, we're only going to bring the projects forward that give us a good return.
Keith Stanley: That's great. If I could shift gears for a second question. I wanted to ask about tariffs. We got the one-month pause here, but if we eventually do get tariffs on Canada, can you walk through some of the dynamics of how that could play out for both your NGL and crude business and potential impacts for Plains?
Willie Chiang: Well, Keith, I think we only have an hour for this call, so maybe I'll try to keep it pretty general. As everyone on the call knows, there are literally a million scenarios that could play out. And we've been working on this for a number of months, going through the scenario planning for what could come for us. The short answer is, as you look at our guidance range, we think that guidance range easily encompasses the probable outcomes of what the tariffs may be. But as far as jumping to the conclusions of what they might be and when they may take effect, I think it's just best to know that we've been spending time on it. And we've tried to mitigate a lot of these proactively. And until the tariffs come out, on what they might be or if they come out at all, it's really a scenario planning exercise of what might happen in our system. But you should know that we're ready for it. And, again, at the end, if it comes, our impact is going to be within the guidance range.
Keith Stanley: Great. Thank you.
Blake Fernandez: Thank you, Keith. And one moment for our next question. Our next question will be coming from Manav Gupta of UBS. Your line is open.
Manav Gupta: Good morning, team. When you provided the initial 2024 guide versus where it came, the number was much stronger. And I'm just trying to understand again if the macro is supportive when we look at the 2025 guide, what could drive you towards the upper end of that guide and possibly go with it as you did in 2024?
Willie Chiang: Well, Manav, this is Willie. I'll start, and maybe others can jump in. When we look at 2025, I think it's important to throw the macro views that I talked about on the table. Clearly, a big factor for us is volume growth and oil price. So more activity would certainly drive higher volumes. And we have a 200,000 to 300,000 barrel a day guidance for our growth in the Permian. But as we go forward and you listen to some of the calls of some of the producers out there, there's a lot of activity that's going on. It's been consistent. It's also been more productive. They've been able to produce more volumes with lower rigs and completion activities. So if I were to take the over or under on momentum, I would take the over into 2025. And those are some of the key factors I see.
Manav Gupta: Perfect. My quick follow-up here is on Ironwood. You're highlighting the fact that it bolsters your Western footprint, but it's also giving a limit of opportunity, you know, extending the footprint into the east. So given your strategy of bolt-on, can we think that maybe you could add do more deals to further enhance this east footprint now that you have got a hold through this Ironwood Midstream bolt-on?
Jeremy Goebel: Manav, this is Jeremy. Thank you for the question. The easiest way to think about it is we had a strong footprint in the Eagle Ford Western assets of Ironwood. Overlay our existing system and create a number of synergies between capital and extending our value chain there on the east side. It is a new area for us. It was basically an asset base run by a private equity company. We're trying to integrate it into our broader footprint and run it like a fully integrated midstream business like we do. So over time, what happened this year's guide is more about it integrating, getting under our foot, and getting those investments in place to allow us to be integrated. I think you'd see just like we've proven with other acquisitions, the ability to compress the multiple over time by driving additional businesses and opportunities through that footprint.
Manav Gupta: Perfect. Congratulations. I think your strategy of going from defense to offense is really working. Thank you.
Jeremy Goebel: Thanks, Manav.
Blake Fernandez: And one moment for our next question. Our next question will be coming from Michael Blum of Wells Fargo. Your line is open, Michael.
Michael Blum: Hey. Good morning, everyone. So I wanted to ask you previously guided flat EBITDA from 2024 to 2026. Growth projects will offset Cactus recontracting. Here, you're up a bit. Do you now expect the EBITDA is going to increase gradually from here on out, or are there other puts and takes that we should be considering over the next couple of years?
Willie Chiang: Michael, Willie again here. Thanks for the question. I really want to get away from this 2024 to 2026 flat guidance. I'll give you context again on why we talked about it back then. We had long-term contracts that were rolling off. These were very good contracts that rolled off back to market rates, which we expected. And the purpose of the guide at that point in time was taking a point-in-time outlook of the business that we added. We wanted people to realize there was not a cliff that was coming. And that's why we talked about the flat 2024 to 2026 on the crude sector, on the crude segment. Now, clearly, as we build our business, continue to grow, our expectations would be that 2026 is going to be over 2024. And so with the just even with the deals we just announced, as far as this first tranche, as we think about playing offense, that obviously adds to the base business. So going into 2026, I would say at this point in time, 2026 is going to be higher than 2024. The next question you'll likely ask is what's the pace and trajectory of that growth? And I would tell you we're going to continue to grow our base business. We've got a lot of integration and footprint to be able to capture synergies. We've got streamlining efforts that are ongoing with this whole efficient growth strategy that we've embarked upon. And any bolt-ons that we might be able to do beyond that would just add to it. And so that's a little bit of lumpiness and growth, but, clearly, our plan and our mission is to increase enterprise value for the unitholders. And going forward, we're just going to continue to execute against this strategy.
Michael Blum: Okay. Great. Thanks for that, Willie. That's helpful. The other question I wanted to ask in December, you talked about initiatives to streamline operations. You talked about it could lead to higher margins, expense savings. Wondering if you could just provide an update on that, any details, and whether any of that is baked into the guidance for 2025. Thanks.
Willie Chiang: Yeah, Michael. The way we would think about the cost and streamlining effort, it's a continuous process. So this is not something we're going to come out and proclaim a program on how much cost we can cut out of the organization or how we can streamline our business. It's what we do. So there are some efficiency streamlining numbers in our numbers this year. But most importantly, as we kind of build our business with these synergies on some of the things that we bring into the system as far as bolt-ons, and we have an ERP project enterprise risk enterprise kind of consolidating our financial progress, we think that's going to give us an opportunity to drive some more synergies and get some opportunities to further streamline. It's really something that's baked into what we do every day. And I think what you'll do is you'll see continuous progress as we go through the year and even into next year.
Michael Blum: Thank you.
Willie Chiang: Thanks, Michael.
Blake Fernandez: And our next question will be coming from Jeremy Tonet of JPMorgan Securities, LLC. Your line is open, Jeremy.
Jeremy Tonet: Hi. Good morning.
Willie Chiang: Good morning, Jeremy.
Jeremy Tonet: Thanks for all the color today. Just want to expand a bit more on the M&A strategy. Clearly, all these bolt-on planes can drive very nice synergies just by connecting. But just curious, I guess, as you look at an asset in MidCon and maybe you can get a bunch of synergies that's kind of a one-time step up versus something in the Permian where maybe there's kind of more continuous organic growth opportunity and how that factors into your process and also just...
Jeremy Goebel: Jeremy, I'm not sure we heard all that, but the question was really how we think about bolt-ons and M&A across our footprint. Is that right?
Jeremy Tonet: Yeah. Sorry about that. Just like in the MidCon, it might be more mature, one-time step up in synergies versus in the Permian where it could be the synergies for connecting, but also organic growth on top of it.
Jeremy Goebel: Sure. A couple of examples from last year, the Stroud acquisition earlier in the year, that's creating a new platform and long-term contract business. We're bringing WACS in. It creates throughput and blending into our terminal system through Cushing. It extends customers' reach within our facilities and their contracts and adjacent facilities that hit funding. So that's a new platform and a step up. And so that has synergies to the asset itself, which you take an asset that has zero EBITDA and turn it into something that's a long-term business. And then create stickiness to your terminal. Then you take the recent transaction with CVR, which was a win-win for them and us, brought them in in 2017. Needed some financing for the projects that they're working on and the turnarounds. We get very long dedications through our terminal and through the pipeline. And significant commitments to that pipeline to allow us to have a very long-term relationship with them at mutually, we're able to rate. So I think it's...
Willie Chiang: Willie talked about it, but MidCon is a great long-term asset and our outside Permian assets for free cash flow generation. And this just ensures they'll be that way for decades.
Jeremy Tonet: Jeremy, this is Willie. Just to add something onto Jeremy's comments, you know, if you think about our system and you know it well, it's very dynamic. It gives us a lot of opportunity to do different things. And earlier, we had the question around what might happen around Canadian crude tariffs or, you know, for example, crude tariffs. And if you just look at our footprint, you could see if volumes didn't find their way to the US, which is not what our outlook is, but we do have a big system that can swing and bring volumes from the Permian ultimately into Cushing. Cushing into the Midcontinent North. So you can see there's a broad system that's very flexible that we think about lots of different option values, and it's good to have choices and options as we go forward.
Jeremy Tonet: Got it. Optionality. Makes sense. Maybe just taking a step back if I could. If you could share your views, I guess, more on the macro side, crude oil prices, how you see unfolding in just kind of, you know, which basins you see, you know, growth in over time? I guess, just a longer look at the macro, how you guys feel about that.
Willie Chiang: Sure. It's constructive. Heard a lot of our peers' calls about low inventory globally, lower crude inventories. You've got the supply and demand fundamentals, which were in this neighborhood, but you got a lot of policy that's driving crude prices right now. And a lot of that could be more sanctions on Iran, more sanctions on Venezuela, tariffs. All of those things could lead to price increases. Filling the SPR, there's a lot of things that are balancing, and so the headlines are leading to driving price, and people are a little bit confused as to which way it's going. We think the backdrop is constructive from a physical standpoint, from a demand standpoint. And then policies only enhancing that. And then from which basins are growing, there's pockets in the Rockies that are growing, there's Canada that's growing, the Permian's growing. And then we're even seeing new developments in the Eagle Ford area and the Midcontinent area that are drawing capital. So we see lots of growth around existing assets, and then we see more broad longer-term. We see Canada, the Rockies, and the Permian as right by different areas, and that's where you're seeing a lot of the investment from us as well.
Jeremy Goebel: Jeremy and Willie again. You know this again, but if you think about our footprint and Jeremy outlined that we expect, you know, flat growth outside the basins of the Permian and in Canada. But we're in great ZIP codes. The Permian is the growth engine for the US. Could argue it's probably broader for the world even. And then Western Canada, let's not forget that we've got a footprint there that's able to take additional NGLs out of gas to produce NGLs that are needed. So two growth areas, Western Canadian Sedimentary Basin and the Permian Basin. We're in both of those ZIP codes.
Jeremy Tonet: Got it. Makes sense. Thank you for that.
Willie Chiang: Thank you.
Blake Fernandez: And one moment for our next question. Our next question will be coming from Brandon Bingham of Scotiabank. Your line is open, Brandon.
Brandon Bingham: Hi. Good morning. Thanks for taking the question. I was just wondering maybe, excuse me, if we could kind of go back to the EBITDA guide. If you could just maybe talk about what the underlying till pop count looks like going into that guide or customers, you know, generally increasing the well counts year over year, decreasing, is it flat? Just how does that compare versus where it came in for 2024? I know you said, you know, and it's obvious, guys, you're doing more with less now, but I was just curious if the tone of those conversations with your customers may be incrementally more positive with, I don't know, Trump administration now or Chris Wright getting in there as secretary of energy, just what are kind of some of the moving pieces there that are underpinning the EBITDA guide and the macro outlook?
Jeremy Goebel: I'd bring that out. It's very consistent if you stick to the Permian Basin where our largest lease gathering activity and then people sort of work we have the Ironwood. Very consistent from last year to this year, consistent pace. There's not a bunch of chasing one and two well locations, which is very much more efficient for us. I'd say it's steady state to last year. This year, very similar new connections, very similar behind pipe connections. Gives us additional confidence in the forecast that Willie outlined in the beginning of the call.
Brandon Bingham: Awesome. Great. And then maybe if we could just turn to the CapEx guide for this year. Could you just help us understand some of the moving pieces embedded in the guide if there's anything related to the deals from January that's in there for this year that might be even dropping lower next year? Was there any slippage from 2024 into this year? I know Q4 CapEx came in a little light versus our expectations. Just any detail you guys could provide would be helpful.
Chris Chandler: Hey, Brandon. This is Chris Chandler. I'd be happy to answer your question. You actually hit on a number of our points. So we do appreciate that. We were able to defer some capital out of 2024 into 2025, and, you know, we always try to optimize our capital spend and not spend it before it's needed. So that's contributing to a higher spend in 2025 than 2024. We also touched on we've grown our acreage dedication in the Permian. Much like Jeremy just answered, and that's driving some additional investment, which will drive additional volume, of course. And then, you know, as far as our larger projects in 2025, the two big ones outside the Permian are the Fort Sask expansion project, and that's going to come online here in the second quarter of 2025. And then we're making some investments in the MidCon, as Jeremy just mentioned, to be able to offload crude from the Uinta Wax basin, and that's a nice new business platform for us and driving some of the CapEx spend as well. But to summarize, we're still within our long-term $300 million to $400 million of investment capital net to Plains. So, you know, we remain committed to this and are still within that range.
Willie Chiang: And, Brandon, all these projects go through our investment committee. So we stress test all these on returns to make sure that we're only doing the ones that have the best benefit for us.
Brandon Bingham: Awesome. Great to hear. Thanks.
Willie Chiang: Thank you.
Blake Fernandez: And one moment for our next question. Our next question will be coming from Spiro Dounis of Citi. Your line is open.
Spiro Dounis: Thanks, operator. Morning, team. Wanted to touch on the long-haul open position first. Last time we chatted, you had a fairly open position heading into 2026. Just curious where that stands now given the tightening egress you guys pointed out in the slides and maybe any plans to firm up that capacity?
Jeremy Goebel: Thanks, Spiro. This is Jeremy. I'd say it's very consistent. The long haul to Corpus is contracted. Our Houston positions are largely contracted with the exception of BridgeTex, but we make progress in continuing to extend those contracts or restructure those contracts. And then with respect to basin, we're seeing incremental demand, which we put into the guide. And we'll stick to shorter-term contracts until we see the tariffs where we want them to be longer-term and expect them to be as the base continues to fill. So I'd say it's fairly consistent, but it's definitely constructive.
Spiro Dounis: Right. Right. Good to hear. Second one, just moving on to the distribution. You guys once again chose an accelerated growth level, you know, and historically, you sort of talked about growth expectations being surpassed as the main driver on why you'd accelerate that growth a little bit each year. But going forward, it does sound like bolt-ons are perhaps maybe a really meaningful driver of growth. And so you're sort of curious, like, all else equal, is it fair to say that each bolt-on increases your ability to push that next distribution increase above your baseline amount?
Willie Chiang: Conceptually, the answer is yes. Obviously, if you think about our business, we got the base business growth. And then we've got bolt-ons. So we factor all of that as we go forward. And, well, I mean, we've been very pleased to be able to return more back to the unitholders. November 22nd of 2022, we came out with this framework targeting the $0.15, and we've been able to do $0.20 increases in 2023 and 2024 and now the $0.25 increase in 2025. So I think the framework works. And when we do better, more money goes back to the unitholders. There's a lot of moving parts, but generally speaking, you're absolutely right. We have a little bit of coverage buffer over this period of time to allow us to continue to grow. Even if the bolt-ons and growth may not have been there. But as we go forward and shrink some of that buffer, it's going to be more dependent upon our base business and the timeliness of some of those bolt-ons.
Spiro Dounis: Great. I'll leave it there. Have a good weekend, guys. Thanks very much.
Willie Chiang: Yep.
Blake Fernandez: One moment for our next question. Our next question will be coming from Sunil Sibal of Seaport Global. Your line is open.
Sunil Sibal: Hey, hi. Good morning, everybody, and thanks for the clarity on the call. So I just wanted to start with your volume guidance or expectations in Permian. How should we be thinking on cadence on those volumes in 2025? And then, you know, you guys mentioned the Permian overall volume growth of 200,000 to 300,000 barrels per day. How do we think of that growth versus, you know, your guide? If the basin comes out to be towards the higher end of the range, should we think upside in terms of your volume numbers in Permian?
Jeremy Goebel: Sunil, this is Jeremy. First, your cadence on the production growth. I'd say it's consistent with last year. If you think of last year, weather in the beginning of the year led to flattish through the first part of the year. And growth July through November was strong. And then we start to flatten out towards the end of the year. Same thing we'll see this year. So I'd say second-half weighted, but very similar. I think in the context of does it impact our guide, the way I think about it is 300,000 barrels in that day in the context of a 6.5 million barrel a day plus basin. That's really small on a relative basis. So I think the range certainly encompasses the 200,000 to 300,000 barrels a day. We look at it as a build-up from all the producers we have and a top-down, and those both marry pretty well. So I'd say you're not going to see material value variations based on that range of 200,000 to 300,000. It'll be within our guide.
Sunil Sibal: Okay. Thanks for that. And then on the NGL business, seems like, you know, there have been some changes in the competitive landscape happening, you know, as we speak in the NGL business in Canada. How should we think about Plains' positioning in that area?
Jeremy Goebel: Sunil, I'd say a lot of the positioning that you've seen in the Gulf Coast and even Kiara's announcement today, that's not going to have a significant impact on the positioning from ours. We have very unique assets that can't be replicated, and we're very happy with our Canadian NGL footprint and our competitiveness.
Sunil Sibal: Okay. Thanks for that.
Jeremy Goebel: Thanks, Sunil.
Blake Fernandez: One moment for our next question. Our next question will be coming from Jean Ann Salisbury of Bank of America. Your line is open.
Jean Ann Salisbury: Hi. Good morning. I have a question about the guidance for long haul on slide five. So you show overall Permian growth of around 300,000, but then that same long haul will grow by 170. So kind of getting over half of that growth. It's a little more market share than I would have expected you to gain this year, given Gray Oak expansion and Seminole returning to crude service. I was wondering if you could give any more color on the assumptions there about how much, I don't know, how much total to Cushing there will be or if it's driven by the bolt-ons or contract ads or just anything underlying that.
Jeremy Goebel: Sure. So when Fletcher's easy, that's just a step up from contracts. Physical flow on the cactus pipelines due to some connecting carrier downtime led to some artificial downtime last year. But that will be full. So cactus one and cactus two where they had some physical lag last year won't have that this year. And then the cul de basins pretty unique on our system. So I think it's a function of timing and some unique circumstances that happened last year.
Jean Ann Salisbury: Okay. That makes sense. That's all for me. Thank you.
Jeremy Goebel: Thanks, Jean Ann.
Blake Fernandez: One moment. Our next question will be coming from AJ O'Donnell of TPH. Your line is open.
AJ O'Donnell: Morning, everyone. Maybe just going back to some of the comments on basin that Willie talked about in his prepared remarks. Just get down where Cushing inventories are and how low they are. Curious if you guys, if you shipped around earlier this year where you could see some of that growth be front-weighted versus back-half weighted, how you indicated?
Jeremy Goebel: Sure. With respect to basin, remember, it's a refinery full pipeline, and so you have peak maintenance season right now. So typical for basin is you'll see lower first-quarter volumes unless there's an up. And then you'll see higher through the driving season. Well, I think you'll see more full artificial things that could impact that. Tariffs could certainly impact the full domestic refiners to substitute for Canadian barrels. But I would say, by and large, volume growth once the Gulf Coast gets filled, you're going to see more push-up base. And just from a pricing standpoint, but basin will typically follow refining utilization. So think of it that way.
AJ O'Donnell: Okay. And then just one more for me. On the NGL segment, looks like hedges kind of improved. They stepped up a little bit from 60% to 70% and are at $0.70 a gallon. I'm just curious about if you could talk where you're seeing current rates in the market and maybe your ability to hedge the exposed volumes at higher rates.
Jeremy Goebel: Sure. That's certainly the reason why we typically hedge more in the front than the back because you've been in really steep backwardation. So 2026 would be in the low to mid-sixties. Prompt would be closer to $0.80. And so for us, that's why you've seen more heading in the front and the back, and this year is no different than what we've explained the last couple of years.
AJ O'Donnell: Okay. That's all for me. Thank you, guys.
Jeremy Goebel: Thanks, AJ.
Blake Fernandez: And our next question will be coming from Neal Dingmann of Truist Securities. Your line is open.
Neal Dingmann: Hi. Morning, guys. Thanks for the time. My first question, just you've mentioned this already, Will, in Ironwood. You all have talked about some of the potential eastern Eagle Ford opportunities around this and just what would the timing be on some of these potential opportunities? Is this something relatively near term, or are you thinking more next year?
Jeremy Goebel: You might look at it as we've just closed January 31st, thrilled to have it. We're canvassing all the customers and looking at opportunities on the integration. So I think it'd be more of next year so that the multiples the teams talked about it's been predicated on what the current cash flows are, not what we can do with the asset. So we're excited about the opportunity.
Neal Dingmann: That makes sense. And then just a second quick one on capital allocation. Just wondering beyond your targeted sustainable distribution growth and, you know, you talked about the bolt-on potential. You know, where would opportunistic buybacks fit in this? I mean, again, I think your stock still seems shares seem to see a little discount over some of the peers, so wondering how this would fit in.
Al Swanson: This is Al. We've had really no change in our view with regard to that. Any buybacks would be opportunistic. And really kind of think of market dislocation and with the trading of our stock, we would need to see a material kind of change in that valuation. Our preference is to continue to return cash to shareholders or unit holders through distributions. Like you've seen with this $0.25 increase for 2025.
Neal Dingmann: Got it. Thanks, Al.
Blake Fernandez: One moment for our next question. Our next question will be coming from John McKay of Goldman Sachs and Company. Your line is open.
John McKay: Hey, guys. Good morning. I know we've kind of picked us to death a little bit, but I want to ask one more just on the Permian guide. You know, kind of framing Permian as 55% of crude EBITDA this year. We obviously have the Cactus step down later in the year. I was just wondering if you could kind of take apart the implied Permian EBITDA for the year balancing, you know, what's coming off for Cactus One versus what you see kind of underlying EBITDA growth is offsetting that?
Jeremy Goebel: That's your understanding question. Are you asking for a specific Permian EBITDA guide?
John McKay: I guess if we're trying to isolate the Cactus impact, just what you're looking at for overall Permian kind of EBITDA growth, year over year. Relative to that volume guide.
Jeremy Goebel: The way to think about that is tariff volumes and physical volumes can be different. And so a lot of cases, we were paid for volumes that didn't move, and so for Cactus Two, some of that will be incremental just as the pipe fills. Cactus One will largely just be a step up in rate for some of the spot. I don't think we're giving a specific guide for that piece.
John McKay: Or slide turn up and then okay. And it gives you a little bit the slide eleven in the deck gives you a little bit of kind of color behind it as far as the Cactus impact and some of the growth. That it doesn't split it out exactly. But I take a look at that.
John McKay: That's fair. And then just in the context of your view of kind of, you know, capacity out of the basin getting tighter next year. You know, and this goes back to, I think, Spiro's question, but when would you guys expect to be able to come out with something on that recontracting tailwind? Is that a kind of this summer conversation? Is it do you need to get into next year? Just trying to think of when we could get an update there. Thanks.
Jeremy Goebel: I think it's just going to be gradual over time. This is also part of the continued improvement mindset that Willie outlined. This is something we don't have to rush on. Current differentials wouldn't support it, so we would sign shorter-term contracts. So we'll let you know if there's something to talk about. Otherwise, we'll continue to optimize the space. And just because it's not contracted, doesn't mean we're not filling it or finding ways to do shorter-term deals and generate revenue from it. So I'd look at it as we are absolutely trying to generate as much margin and revenue as we can, and we'll optimize the value of that space. I wouldn't expect any grand unveil of a recontracting.
Willie Chiang: And, John, this is Willie. The way I think about it from a macro standpoint, you've got the capacity, and you've got economic capacity. It's going to be hard to build a new long-haul pipeline to the Gulf Coast. If you think about the commercial commitments it takes, the permitting slash supply chain issues, so I think our view is, you know, then you have to balance it with what you think ultimately Permian growth is going to be. So my guess is we're going to get to this point where it is going to get tighter capacity. We're probably going to live in that space for a while. And whether or not a new long-haul line is built, it's really going to be dependent upon, you know, kind of a broader view of can the Permian go the next step. So I think we're going to be in a pretty good place the next number of years. We certainly have struggled the overcapacity years in the past number of years. So I think we're in that whole different set, you know, sector of time here as we get closer to the full state.
John McKay: Alright. That's great. I appreciate the thought. Thank you, guys.
Willie Chiang: Thank you, John.
Blake Fernandez: Thank you. And our next question will be coming from Theresa Chen of Barclays. Your line is open, Theresa.
Theresa Chen: Would you mind reminding us what your PLA volumetric exposure is at this point? It's just as we try to frame up the sensitivities to the $75 WTI assumption within your 2025 guidance.
Blake Fernandez: Hey, Theresa. It's Blake. The last update we've given is four million barrels a year. So call it a $10 move equates to roughly $40 million of EBITDA.
Theresa Chen: Thank you.
Blake Fernandez: I would now like to turn the conference back to Willie Chiang for closing remarks.
Willie Chiang: Well, listen, thanks all of you for dialing in and your continued interest in Plains. We'll look forward to seeing you soon as we get out on the road. Have a safe weekend.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.